Operator: Good afternoon. Welcome to Airgain’s Second Quarter 2024 Earnings Conference Call. My name is Joe, and I will be your operator for today’s call. Joining us today are Airgain’s President and CEO, Jacob Suen, and CFO, Michael Elbaz. As a reminder, this call will be recorded and made available for replay via a link found in the Investor Relations section of Airgain’s website at investors.airgain.com. Following management’s prepared remarks, the call will be opened for questions from Airgain’s covering analysts. I caution listeners that during this call, Airgain management will be making forward-looking statements about future events as well as Airgain’s business strategy and future financial and operating performance. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company’s business. These forward-looking statements are qualified by the cautionary statements contained in today’s earnings release and Airgain’s SEC filings. This conference call contains time sensitive information that is accurate only as of the date of this live broadcast, August 6, 2024. Airgain undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition, this conference call will include a discussion of non-GAAP financial measures. Please see today’s earnings release for further details including a reconciliation of GAAP to non-GAAP results. Now, I’d like to turn the call over to Airgain’s CEO, Jacob Suen. Jacob?
Jacob Suen: Thank you, operator. Welcome, everyone, and thank you for joining us this afternoon. To begin today’s discussion, I will give some company background, followed by a review of our performance for the quarter, before handing the call over to our CFO, Michael Elbaz. He will review our financial results for the quarter in more depth as well as provide our outlook for the third quarter. After that, I’ll share some closing remarks before opening the call for questions. Before we dive into our quarterly results, I would like to take a moment to introduce Airgain to those who may be new to our story. At Airgain, we simplify wireless connectivity across the value chain from embedded components to integrated systems. Our primary markets encompass the enterprise, consumer, and automotive sectors. Within our enterprise market, our products include embedded cellular modems, asset trackers, custom IoT products, 5G IoT antennas, our new 5G fixed wireless access device, and our 5G Smart Network Controlled Cellular Repeaters. Our consumer market is comprised mostly of our embedded antennas business, a traditional area of expertise for Airgain. Our consumer products include custom embedded antenna design for customer premises equipment devices such as those that enable Wi-Fi 6E and Wi-Fi 7. Lastly, our automotive market encompasses both aftermarket antennas and vehicle networking devices, notably our AirgainConnect Fleet solution. The global connectivity opportunity is substantial and enduring. We believe secular trends, including increased adoption of connectivity technologies and expanding addressable markets across our product range will drive industry and company growth. Airgain has consistently developed and delivered optimized wireless solutions, enabling our channel partners and customers to connect efficiently. As new technologies emerge, we are well positioned to continue providing cutting-edge products to meet evolving demands. Turning now to a review of our recent operational results in three core markets. We generated $15.2 million in sales in the second quarter above the midpoint of our guidance range and a 7% increase over the prior year quarter. This increase was largely driven by higher consumer market sales to our cable, broadband, and mobile network operators. In second quarter, we deliver the first shipments of our Fixed Wireless Access Lantern solutions along with the first shipments of Wi-Fi 7 antennas to a Tier 1 MSO partner. We also secure multiple design wins for our embedded modems in our 5G automotive and enterprise antennas. Still, we’re paying close attention to the macroeconomic environment of industry-wide headwinds that we have faced in recent quarters continue to dissipate. Our indicators suggest that previously broad demand softness has become more product and customer specific as the industry recalibrates optimal inventory levels. While some key customers continue to adjust their inventories affecting all the timing, our broader product portfolio generally enjoy clear channels. We anticipate that fluctuating inventory levels will impact our business. However, we are confident that our existing design wins and the launch of our strategic product initiatives will lead to overall revenue growth. Taking a closer look at our three markets, our enterprise market performance in second quarter remain stable compared to Q1. Albeit with a different mix of key drivers following a robust Q1 driven by a substantial shipment to a strategic partner in our custom products, we anticipated an inventory adjustment in Q2 affecting older volume. However, the expected softness in custom products was counterbalanced by sequential sales increases in our embedded modems, asset truckers, and enterprise antennas, along with the commencement of lantern FWA product shipments, enabling us to maintain enterprise revenue compared to first quarter. We expanded our asset tracker portfolio with new railcar focused features with the design win we announced last year. The railcar segment provides us with a unique opportunity to leverage our asset tracker’s competitive advantages such as cellular connectivity and battery life, and customize them to meet the technical and environmental requirements of the sector. We expect to leverage our railcar product portfolio to the broader transportation segment. In addition, our RECON13 sales pipeline has continued to grow for enterprise applications, specifically with counties and municipalities. RECON13 is a low-profile rugged outdoor antenna designed to provide high-performance LTE and 5G connectivity. Although the sales cycle for these antenna contracts is long, we are confident in the demand that we are seeing and believe that this is a growth opportunity for us through the rest of 2024. Looking ahead to Q3, we anticipate a slower quarter for design wins based on our product timeline and recognize that inventory with our strategic custom products customer will require time to normalize. Nevertheless, we believe our robust embedded modems product portfolio, expanding IoT antennas and asset tracker sales pipelines and launch of the Lantern FWA solution, strategically position us to offset the temporary softness in custom products. The increasing demand we have seen across these product lines bolsters our confidence in their growth potential through the remainder of 2024 and into 2025. Our consumer market saw notable progress in second quarter. Over recent quarters, we have highlighted the anticipated industry transition from Wi-Fi 6 and 6E to Wi-Fi 7 among MSOs, driven by their desire to enhance performance in user experience. Our team has been diligently working to meet this demand. This quarter marked a significant milestone as we deliver our first Wi-Fi 7 router antenna system to a Tier 1 MSO, along anticipated achievement. While Wi-Fi 7 adoption rates vary among MSOs, with some moving swiftly and others targeting 2025. We believe that Airgain will play a significant role in driving this industry-wide shift in the coming quarters. Consumer demand continues to shift from wire to wireless internet service providers with a growing preference for FWA. Recognizing this trend early, we strategically focus on penetrating this expanding market. A key milestone was our Tier 1 MNO design win for an indoor FWA router antenna announced last November. While shipments began in Q1, we significantly ramped up production during the second quarter. We expect this positive trend to gain momentum in Q3, projecting further sequential growth in our consumer market. In addition, we recently secured a significant design win with one of Europe’s leading telecommunications providers for our advanced embedded antennas. And we expect first shipments to occur by the end of the year. Now, let’s focus on our automotive product, which currently serves public safety and transportation vehicles with our advanced aftermarket products. While our growth in this sector has traditionally been driven by several key customers, the industry-wide excess inventory challenge that emerged late last year persisted through Q2. We project this inventory recalibration to continue through the end of the year. But we are actively implementing strategies to navigate this temporary market condition. In second quarter, our highly configurable RECON13 5G antenna continue to gain significant market traction in automotive applications, helping to offset inventory challenges and maintain revenue stability compared to Q1. We anticipate that RECON13’s projected growth will help mitigate ongoing inventory challenges in other areas of this product market in the coming quarters. One of our lead customers selected RECON13 for its transition from 4G to 5G in-car systems, further validating its capabilities and market potential. Additionally, our AirgainConnect Fleet or AC Fleet product is generating significant market interest. And we are in the final certification phase with trials currently in progress with multiple customer prospects. We anticipate this strong interest in ongoing trials to convert into material revenue streams beginning in Q3 and ramping up in Q4. Overall, we are encouraged by the ongoing recovery across several of our product lines. While we recognize that industry challenges persist and require ongoing vigilance regarding the macroeconomic environment, we anticipate continued progress about robust and diverse product portfolio positions as well for growth opportunities, reinforcing our confidence in a sustained rebound. As previously communicated, we are advancing our strategic transition from an exclusive component manufacturer to a comprehensive wireless system solutions provider. As such, our growth strategy is focused on two key elements. First, continue execution of our established business. Airgain’s traditional expertise lies in component-based products deployed across consumer, automotive and enterprise applications, including embedded modems, custom products, embedded antennas, and aftermarket automotive products. We have cultivated strong relationships with partners throughout the value chain and achieved several significant milestones in recent quarters. Furthermore, we anticipate lucrative opportunities in these product categories, driven by upcoming shipment ramps for Tier 1 MSO Wi-Fi 7 and MNO embedded antenna design wins, expansion of RECON13 antenna automotive and enterprise sales pipelines, and new IoT custom products. Given our expanding product portfolio in customer sales pipeline, we are optimistic about the growth potential of our established business. Second, integrated wireless solutions expansion. While we continue to advance our existing components business, our forward-looking indicators for 2024 and into 2025 highlight our wireless connectivity product lines of having the greatest upside potential, specifically our asset tracking and 5G connectivity solutions present the most significant strategic growth opportunities. On the asset tracking side, our trackers are deployed across transportation, supply chain, and other specialized applications. This segment offers recurring revenue opportunities through multiple subscription-based components, including our NimbeLink cloud-based device enablement platform and tracking information dashboards. In addition, we continue to make meaningful progress with a product portfolio design for the transportation sector. Our 5G connectivity products include Lantern FWA design to enhance connectivity in homes and offices. Lighthouse smart repeater engineered to expand high-quality coverage for mobile network operators. And our next generation AC fleet 5G vehicle gateway evolved to provide wide area cellular and local Wi-Fi connectivity for public safety, transportation, and various vehicle fleets. We have garnered significant interest across these solutions. For Lighthouse, we are progressing steadily with the previously mentioned international strategic collaboration, having conducted successful live network trials for in-building service and outdoor coverage solutions. We are working on committed trials with three international mobile network operators and one domestic power company through the end of this year. Regarding AC fleet, we are working on over 25 customer trials domestically and internationally in third quarter. And we anticipate initial shipments by the end of this quarter. Again, these three product lines represent over $700 million of potential projected serviceable addressable market in 2024 and $1.7 billion of potential additional SAM in 2025, effectively doubling our foundational SAM of $1.8 billion for our existing product lines. Our connectivity products are the culmination of several years of investments in shifting Airgain from exclusively components to full systems. And we believe that we have significant upside in these areas. We shift the lantern FWA in second quarter, and we continue to advance our smart FWA technology announced earlier this year. Our focus is on transforming the 5G customer experience by optimizing connectivity and minimizing operators, truckloads, and customer returns. With that, I’ll turn the call over to Michael to discuss our second quarter 2024 financial results and third quarter 2024 outlook in greater detail. Michael?
Michael Elbaz: Thank you, Jacob. Before diving into the numbers, please note that my review of our financial results and guidance refers to non-GAAP figures. Information about the non-GAAP financial measures, including GAAP to non-GAAP reconciliation can be found in our earnings release. Now, let’s turn to our second quarter results. As Jacob mentioned, Q2 sales were $15.2 million, above the $15 million midpoint of the guidance range. Our second quarter sales increased sequentially by $1 million, driven by strong contributions from our consumer market. While sales increased by 7% sequentially, they were lowered by 4% year-over-year, primarily because we are still addressing an excess inventory environment. Enterprise sales were $8.6 million, reflecting a sequential decrease of $0.3 million or 3%. The slight decrease in sales was due to the large shipment of custom products in Q1, which was mostly offset by increases in our embedded modems, asset trackers, enterprise antennas, and first shipments of our Lantern FWA product. Consumer sales reached $4.8 billion, representing a sequential increase of $1.3 million. This growth was primarily driven by a broad-based market recovery and the ramp-up of Tier 1 MNO shipments. Additionally, we completed our first shipments of Tier 1 MSO Wi-Fi 7 antennas. Automotive sales were $1.7 million, reflecting a sequential decrease of $0.1 million. Q2 gross margin was 41.5%, 130 basis points higher sequentially due to a higher enterprise margin and a favorable market sales mix. On a year-over-year basis, Q2 gross margin was 110 basis points higher as a result of continuous margin improvement in our automotive and enterprise markets. These improvements more than offset the unfavorable year-over-year market sales mix. Q2 operating expenses totaled $6.9 million, relatively flat sequentially. On a year-over-year basis, Q2 expenses increased by $0.3 million. Our first half of 2024 expenses amounted to $13.4 million, reflecting a decrease of $0.4 million, or 3%, from our first half of 2023 expenses. Despite the relatively flat year-over-year OpEx, our G&A and marketing communication expenses declined by approximately 25% year-over-year as we drove process and system efficiencies. Our engineering and sales expenses increased by approximately 20% year-over-year as we focused on the development and launch of our strategic product initiatives. Q2 adjusted EBITDA was negative $0.4 million and non-GAAP EPS was negative $0.05. Our cash balance as of June 30, 2024 was $8.4 million, $1.2 million higher sequentially, resulting from net cash proceeds of $2.5 million from the ATM offering, partially offset by negative free cash flows of $1.3 million. Our accounts receivable balance was $8.6 million, $1 million lower sequentially. Net inventory was $3.1 million, which was $0.5 million higher sequentially. Now, moving to our outlook for the third quarter ending September 30, 2024. As a reminder, we provide quarterly guidance for sales, non-GAAP gross margin and expenses, non-GAAP EPS and adjusted EBITDA as we believe this metrics to be key indicators for the overall performance of our business. We project sales for the 2024 third quarter to be in the range of $15.25 million to $16.75 million, or $16 million at the midpoint of the range. We expect the sequential sales growth of approximately 5% at the midpoint of our guidance range, driven by continued growth in our consumer market and by the launch of our next generation AirgainConnect or AC fleet, by the end of the third quarter. We expect our enterprise sales to be down, primarily because of inventory normalization with a lead custom products customer. We expect non-GAAP gross margin for the third quarter to be in the range of 41% to 44%, or 42.5% at the midpoint of the range. We anticipate the sequential increase in gross margin to be driven by a favorable market sales mix and continuous margin improvements. We project our operating expenses to be approximately $6.9 million, as we continue to focus on the AC Fleet product launch and Lighthouse customer trials. Non-GAAP EPS is expected to be negative $0.01 at the midpoint of the guidance. Adjusted EBITDA is expected to be breakeven at the midpoint of the guidance. Now, I would like to turn the call back over to Jacob for his closing thoughts. Jacob?
Jacob Suen: Thanks, Michael. A few closing thoughts before we take questions. First, I am immensely proud of our team’s unwavering commitment and tireless dedication to our strategic roadmap initiatives. We are currently developing several groundbreaking products under stringent timelines. As of today, I can confidently report that we are not only executing on our promises, but also maintaining our scheduled milestones. This remarkable achievement is a testament to our team’s exceptional dedication and the expertise of our highly effective management team. Second, our outlook on market potential and industry recovery remains optimistic. Despite ongoing challenges in certain product segments, we have achieved significant progress across multiple facets of our business, including product innovation, partnership expansion, and geographical diversification. We are maintaining our investment in new product launches and bolstering our salesforce as part of an assertive growth strategy designed to counter the industry-wide inventory correction. We are confident that our resilience and skillful navigation of these challenges will yield substantial returns in the coming quarters. Third, our products remain the cornerstone of our value proposition to customers in light of emerging industry trends, including the transition to Wi-Fi 7, growing demand for asset tracking capabilities, and persistent challenges in 5G coverage. We are confident that the global connectivity opportunity is not only vast, but expanding. Many regions worldwide represent untapped markets for both our industry and our business. For instance, our next generation Smart FWA, AC Fleet, and Lighthouse Smart Repeater products are designed to address critical connectivity challenges and have garnered significant interest from major industry players. We believe these innovations distinguish us as a pivotal force in our sector. Q2 has seen us not only sustain our operational excellence, but also make substantial progress on our strategic initiatives. Our team’s performance reinforces our strong confidence in the effectiveness of our forward-looking strategy. We are really optimistic about Airgain’s growth trajectory and are well positioned to capture market share. And with that, operator, please open the call for Q&A.
Operator: Thank you. We will now take questions from Airgain’s sell-side analysts. [Operator Instructions] And our first question comes from the line of Anthony Stoss with Craig-Hallum. Please proceed.
Anthony Stoss: Hi, guys. Good afternoon and nice execution both for the quarter and the guide.
Michael Elbaz: Thank you.
Jacob Suen: Thank you, Tony.
Anthony Stoss: Jacob, I wanted to start with your comments about, I believe, you said it was a European design win for your antennas that should be shipping late this year. Can you maybe describe the opportunity and kind of the nature of this customer, if there are other customers that you can attack quickly? Then, I have a couple of follow-ups.
Jacob Suen: Yeah, sure. Yeah, so this is a design that we actually work with our partner in another OEM out of Taiwan for the last, I would say, year plus. It’s actually one of the major, I would say, carrier in the U.S. space. And they’re encompasses not only the Germany market, but other markets as well in Europe. It’s a gateway. We actually – this is more of our traditional business, where we actually do the design with the Wi-Fi 7 for this particular fiber gateway. And the expectation is that they’re going to begin shipping by the end of this year for the next 2 to 3 years. And, the volume will be, I would say, anywhere about 1 to 2 million devices per year.
Anthony Stoss: Got it. Thanks. And then another one for you, Jacob, before I move to Michael, your asset trackers have been really strong, which is nice to see. Do you think that the inventory in the channel is kind of depleted, and what do you see in terms of design traction and kind of growth rates seems like that’s back growing pretty quickly again?
Jacob Suen: Yes. Actually, asset tracker relating to our overall IoT business, it’s an area of focus. We actually are coming up with several new products focusing on the asset tracking customers. Specifically, we talked about the railcar customers we want, and we’re actually winning new designs with these particular customers. And, we’re working on even longer-term contracts with these particular customers. In addition, we’re also engaging some opportunities in some of the flight applications, which I hope to be able to provide more color in the coming weeks. Last but not least, we’re also working on some of the strategic logistics customers’ partnerships. And we feel strongly about the asset tracking system being pivotal part of our future growth business.
Anthony Stoss: Got it. Perfect. Thanks for the color. And then, just two quick ones for Michael, then I’ll jump back in queue. I’d love to hear your thoughts on gross margins kind of longer-term if we’re now set to continue to move higher kind of each and every quarter. And then, I know you’re only guiding for the September quarter, but I’d love to hear your thoughts kind of on seasonality for the December quarter, if you think December is subsequently flat down from September.
Michael Elbaz: Thank you, Tony. So, gross margin has been a continuous focus for us for the past year-and-a-half. We haven’t seen the result of all the efforts up until now, which is actually coinciding with the dissipation of some of the excess inventory that the industry still faces. But, overall, just to give you some color on that and just on some of those broad changes taking place, we certainly over the past year have introduced some high performance antenna products and also some asset tracker products that are premium and so, therefore, garnering a better than average gross margin. We certainly want to continue with the product portfolio expansion on new products that are really focused on premium or high performance. We also have a continuous focus on product cost reductions and margin improvement and we have done so over the past 3 quarters. And then, finally, this leverage of the CM model that we have talked about is definitely very helpful now that the excess inventory in the channel has dissipated. And then in addition to that would be the launch of the product initiative, which we expect to be higher gross margin. That overall so far has been able to offset some of the price pressure that we have seen because of the excess inventory force right now. So, overall, I would say this is a key focus for us and we expect to see some margin improvements in future quarters.
Anthony Stoss: Just your thoughts on December seasonality are up, down, sequential flat, just any initial thoughts?
Michael Elbaz: December, I believe that the AC Fleet is going to be a key determinant in terms of the direction of our overall growth altogether. And so, right now, we just focus on the full execution and the customer trials that we are undertaking right now.
Anthony Stoss: Okay. Very good. Thanks, guys. Best of luck.
Michael Elbaz: Thank you, Tony.
Operator: [Operator Instructions] And the next question will come from the line of Tim Savageaux with Northland Capital Markets. Please proceed.
Tim Savageaux: Hey, good afternoon, and congrats on the results and the outlook as well. I want to kind of continue with that thinking about heading into year-end. On the consumer side, you talked about, and Jacob wasn’t clear whether it was the cable MSO design wins you expect to be positively impacting Q3 or whether they’re really kicking in yet. And, of course, you mentioned a couple of others as well. So obviously, expect consumer to grow in Q3 looks like pretty decently, given the gross margin guide, I’ve seen that’s mix effective. It seems like there’s – whether it’s seasonality or ramping design wins, a decent reason to believe that consumer strength continues into Q4 that’s independent of AC Fleet. But I just want to kind of bounce that scenario off to you guys and see what you think.
Michael Elbaz: Hi, Tim. This is Michael. So the Q1 MSO design win that we announced and got the PO that we announced also last quarter, that we started shipment in Q2, and we’re seeing a strong ramp in Q3. And we’re hoping and we expect that that ramp will continue on into Q4 as well, too. Other Tier 1 MSOs may be delayed on their Wi-Fi 7 deployments, so we may expect that to be taking place at the end of the year. But the other part that is fueling some of that growth on the consumer market is really the MNO Tier 1 design win that we announced last November. That one continues to also ramp in the shipment itself. So, right now, we certainly are optimistic about Q3 and optimistic that the trend hopefully will continue on into Q4 as well, too.
Tim Savageaux: Great. And kind of following up on that, you talked about some inventory on the custom product side and enterprise. I don’t know if there’s a timeframe and also some offsetting drivers across the rest of the product line. Is there a timeframe that you expect that to clear? Would you expect that to persist, again, through the end of the year to kind of keep a lid on enterprise growth until next year? Would you expect that to…
Michael Elbaz: Yeah, that one is – yeah, sorry, go ahead, Tim. Tim, go ahead.
Tim Savageaux: No, I was just going to say, would you expect that to persist for a few quarters or clear any earlier?
Michael Elbaz: Yes. And I think this is a great question, because the broad demand softness that we’ve seen last year has become much more product and customer-specific, and this is one of those. This is something that we have learned in the beginning of the year, and we are monitoring very closely with our strategic customer on their excess inventory levels, and we don’t have a timeframe as of yet as to when it will be clearing, but this is certainly something that we are watching very carefully. But the overall excess inventory, as I mentioned before, is becoming much more customer-specific, and we expect that to be clearing over time, and there is no reason to believe that that would be an overall persistent headwind for us, so this is more of a timing at this point, Tim.
Tim Savageaux: Okay. Great. And then maybe last question for me, a little higher level, sort of like the way you frame the kind of 5G connectivity or coverage sort of portfolio across Lantern, Lighthouse, and AC Fleet. I mean, as you look at the opportunities heading into 2025, at this point, are you ready to talk in any way about, what kind of, I guess, incremental revenue contribution, if you look at that portfolio that you’re targeting or would be happy with or disappointed by, yes, as you’re looking to 2025 or any sense of the size of the pipeline?
Jacob Suen: Yeah, great questions, Tim. I’ll talk about the business and I’ll let Michael take the harder questions about revenue projection, because we typically don’t guide. But certainly from a business perspective, we are very optimistic about the major initiatives. As I indicated earlier, we have been executing according to schedule. The Lantern FWA was successfully launched in second quarter and AC Fleet, which is a phenomenal product, highly differentiated, all-in-one gateway. It’s due to go out by the end of September. We actually have trials ongoing and the initial feedback has been phenomenal. Some of the feedback we got is very easy to install and this is one of the major differentiation. And the performance, this is so much better than otherwise. So all-in-all, we’re already getting a lot of feedback and we anticipate to have 25-plus customers up and running on the trial in the next week or so. So things are moving along quite well and we do see the AirgainConnect, or AC Fleet, being the main driver as we enter into Q4 in 2025 in particular. This is the one we’re focusing on both direct and indirect. Indirect are going through the vast channels targeting mostly public safety customers; and the direct are the private and public fleets and we are really engaging in both avenues. And then, the Lighthouse also really pleased the trial we have done. I mentioned to you last quarter about a live networking trial with Lighthouse. It was done completed in second quarter. It also went very well. The in-building service testing, we’re able to achieve almost 25 times the performance over the existing on the down-line, and about 8 to 10 times the performance improvement over the up-line. We’re also testing an outdoor device where the base station, we were able to achieve before, we’re able to improve another 30% to 50% range. So we’re able to extend the range of the sale edge by another 30% to 50%. So, I think that it was really successful. The customers were very pleased to see those results, and we’ll see with them on the next engagement topic, which is commercialization. So all-in-all, we are optimistic about where we’re heading into 2025 and even 2024 Q4. And I’ll let Michael answer about some of the potential revenue projections.
Michael Elbaz: Sure. So, Tim, overall, I would say we are very optimistic about the traction that we are in right now, not only from a product execution standpoint, but also the customer trial. There is definitely a long sales cycle, especially when we are looking for AC Fleet in terms of strategic partnership with direct customer. That will take some time, especially because of the overall budget windows that some of those larger customers have. Likewise, in Lighthouse, we’re talking about an infrastructure type of a product that is definitely getting into a long sales cycle, but we are very encouraged by all the trials taking place at this point. As Jacob mentioned, we do believe at this point that the AC Fleet will be the primary driver from all those product initiatives, simply because Lighthouse will take some more time from a sales cycle. And Lantern is more of a very premium niche type of a market designed for premium enterprise and residential customers that require extended coverage and performance. However, in terms of next year and the thought process for next year is that if we are looking to be relatively flat to single-digit growth on our existing business to get to the higher growth that we all are vying for, the launch of those products is going to be very key for us. And so, at this point, I would say we’re optimistic.
Tim Savageaux: Thanks very much.
Michael Elbaz: Thank you, Tim.
Operator: Thank you. At this time, this will conclude our question-and-answer session. If your question was not taken, you may contact Airgain’s Investor Relations team at AIRG@gateway-grp.com. I’d now like to turn the call back over to Mr. Suen for his closing remarks.
Jacob Suen: We sincerely appreciate your participation in today’s call. I would like to extend special recognition to our exceptional employees for their tireless efforts and invaluable contributions. Equally, we are grateful to our investors for their steadfast support and trust in our vision. We eagerly anticipate sharing further updates with you at our next opportunity. Operator, we can now conclude the call.
Operator: Thank you for joining us today for Airgain’s second quarter 2024 earnings call. You may now disconnect.